Operator: Good day, everyone, and welcome to the Verisk Analytics Fourth Quarter 2012 Earnings Conference Call. This call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Verisk's Senior Vice President, Treasurer, Corporate Finance and Head of Investor Relations, Ms. Eva Huston. Ms. Huston, please go ahead.
Eva F. Huston: Thank you, Steve, and good morning to everyone. We appreciate you joining us today for the discussion of our fourth quarter 2012 financial results. With me on the call this morning are: Frank Coyne, Chairman and Chief Executive Officer; Scott Stephenson, President and Chief Operating Officer; and Mark Anquillare, Chief Financial Officer. Following comments by Frank, Scott and Mark, highlighting some key points about our strategic priorities and financial performance, we will open up the call for your questions. The earnings release referenced on this call, as well as the 10-K, can be found in the Investors section of our website, verisk.com. The earnings release has also been attached to an 8-K that we have furnished to the SEC. A replay of this call will be available for 30 days until March 28, 2013, on our website and by dial-in. Finally, as set forth in more detail in today's earnings release, I will remind everyone that today's call may include forward-looking statements about Verisk's future performance. Actual performance could differ materially from what is suggested by our comments today. Information about the factors that could affect future performance is summarized at the end of our press release, as well as contained in our recent SEC filings. And now I will turn the call over to Frank Coyne.
Frank J. Coyne: Thank you, Eva, and good morning. In fourth quarter 2012, we delivered strong overall performance of over 18% total revenue growth and 26% diluted adjusted EPS growth. For the full year, total revenue growth was 15% and diluted adjusted EPS growth was 20%. Our consolidated organic revenue growth in the fourth quarter was 6.7%, reflecting strong growth in healthcare and good growth in insurance solutions, offset by weakness in mortgage. Excluding our historical mortgage business, organic revenue growth was 9.4% in both the quarter and for the year. Profitability was strong with an EBITDA margin of over 45% in the quarter and for the year. Free cash flow was also strong, increasing over 25% in 2012, even after our pension funding in the earlier part of the year. In the fourth quarter, our Risk Assessment revenue grew 5%, after adjusting for the impact of a transfer of some revenue to Decision Analytics in 2012, and also grew 5% for the year, reflecting the value to our long-standing insurance company customers of our industry-standard insurance programs and property-specific data. In Decision Analytics for the quarter, our revenue grew almost 30% and our insurance solutions grew about 10%, even as transactional claims activity related to Sandy and other storms was captured under existing contracted customer minimums. Our healthcare solutions continued their excellent organic growth, growing revenue about 28% organically in the quarter. Total healthcare revenue growth was almost 90%, including the contributions MediConnect continues to make. In the quarter, we generated over $70 million in revenue from our healthcare business. In financial services, we continue to be pleased that Argus' performance has been on target and our future expectations remain on track. Within our mortgage tools, we are seeing recent trends continuing. Our origination-related revenue continues to grow ahead of the origination market, while our overall mortgage revenue declined, although slightly less than we expected it to when we talked to you last quarter. We will continue to face challenges in mortgage in 2013 as the forensic business moves back towards normalized level. But overall, our business is now more diverse in both customer and solution set. We remain disciplined on our use of capital and are focused on delivering shareholder returns. In 2012, we spent about $800 million on acquisitions, primarily MediConnect and Argus. We find the results of our acquisitions encouraging and believe our shareholders should be pleased by this use of capital, as evidenced by strong initial results and strategic fits. Our share repurchases remained moderated in the quarter at $35 million as we continue on the path to meet our commitments to our debt holders. Total repurchase activity in 2012 was $163 million. We continue to be active in looking at M&A but also continue to maintain our discipline, focusing on assets with a true strategic fit, a strong financial model and an appropriate valuation in relation to future growth prospects. In this quarter, and more importantly, for the full year 2012, we had strong financial results. The ongoing experience, knowledge and dedication of our employees across our enterprise position us well for 2013. You've also seen the announcement last week that I will be transitioning the CEO role to Scott Stephenson in April. I am pleased to continue to serve on the board as Non-Executive Chairman. Scott has been a key member of our management team for over a decade and is the right person to carry forward our culture of performance. Now I'll turn it over to Scott for an update on some of our initiatives.
Scott G. Stephenson: Thank you, Frank, very much. These are exciting times for Verisk, and I'm really very pleased that we will have the continued guidance and counsel that Frank will be providing as Chairman of our board. As you all know, we have strong team running our businesses on a day-to-day basis, and you'll be hearing directly from many of them at our Investor Day on March 7. Our deep industry expertise has made us successful and will continue to help us enhance and develop new analytic and data-driven solutions for our customers now and into the future. Another driver of our success is our culture of innovation and continuous improvement. About a month ago, our leadership team was together and we had a chance to talk about the ways we can continue to drive innovation and the analytic mindset throughout our 6,500 employees. Our teams are energized, and we have a good crop of investment opportunities that we will be funding in 2013 and beyond. For example, remote-sensing and imagery is one of those. We are gathering images that can be used to identify risks beforehand and then quantify them afterward. Something else that we talk about a lot is the idea of the N+1 data set. At Verisk today, we have about 5 petabytes of data, which definitely qualifies us as a big data shop. Our creativity in analyzing these data to develop new solutions will allow us to make our individual proprietary data assets into new data sets by combining them with other data sets. If there are N data sets in the world, we can have more insight by creating N+1. If our customers have N data sets, we can create more insight by creating N+1. Always, always looking to add more value. With that, let me turn it over to Mark to cover some of the financial results in more detail.
Mark V. Anquillare: Thanks, Scott. As you've heard, we are pleased with our performance for both the fourth quarter and full year 2012. In the fourth quarter, we delivered 18.2% total revenue growth and 6.7% organic revenue growth. For fiscal year 2012, total revenue growth was 15.2% and organic revenue growth was 7.3%. Excluding our historical mortgage business, our revenue growth organically in the quarter and the full year was 9.4%. For the fourth quarter, our Decision Analytics segment revenue delivered 28.7% growth, of which 7.9% was organic, excluding the acquisitions of MediConnect, Argus and Aspect Loss Prevention, as well as the transfer of revenue for the mortgage appraisal tools. As a reminder, in 2012, we transferred revenue related to mortgage appraisal tools from Risk Assessment's property-specific revenue category into Decision Analytics' financial services revenue category. Going forward, in 2013, we will discuss growth rates treating the appraisal tools revenue as a part of Decision Analytics. Within Decision Analytics, our insurance category revenue grew 9.6% in the fourth quarter and 9.3% organically, excluding the acquisition of Aspect Loss Prevention. We continued good growth in our catastrophe modeling solutions in the quarter and finished 2012 with 95% market share for public property catastrophe bond modeling. We also saw growth from our loss quantification solutions. As discussed in our third quarter call, we did not expect to see a bump in growth due to Sandy because many of our customers were below minimum contracted claims volumes, and that proved to be the case. Claims solutions delivered good growth. Our underwriting solutions continued to add strong growth. In financial services, which include both Argus and the mortgage business, revenue grew 41.8% in the quarter. Argus is an excellent business, and we remain pleased with the performance since the acquisition in the third quarter, which has exceeded our estimates provided at the time of the acquisition. After adjusting for the acquisition of Argus and the transfer of the mortgage appraisal tools from Risk Assessment into this revenue category, in the fourth quarter, revenues declined 19.6%. For all of 2012, revenues declined 11.3%, a result that was slightly better than our expectations as discussed with you last quarter. Consistent with recent trends, mortgage origination tools grew nicely in the quarter and reflected the growth in the mortgage origination market. But revenue from forensic solutions declined in the quarter by more than offsetting them. In thinking about the mortgage portion of financial services for 2013, I believe it's possible we could see a similar decline to the 11% we saw in the full year 2012. Healthcare continues its strong revenue growth, 89.1% for the fourth quarter and 115% for 2012. Healthcare organic revenue growth was 28.5% in the fourth quarter and 36.2% for the full year. Our total revenue growth benefited from the second quarter addition of MediConnect, another acquisition that has performed strongly in 2012. The performance to date validates our strategy of combining our Revenue Integrity and HEDIS reporting solutions with MediConnect to create a comprehensive solution, RQI, or Revenue and Quality Intelligence. Organically, we continue to add and implement new customers and expand our relationships with existing customers. The 2011 acquisitions of Bloodhound and Health Risk Partners became a part of our organic growth calculation in the third quarter. As a reminder, we do have seasonality in our Revenue and Quality Intelligence revenue. As you recall, we generally expect the first half of the year to be seasonally low with more revenue to come in the second half. This means for Verisk Health overall, the shape of our business is going to be in the 60-ish percent towards the second half of the year. Split across quarters can vary depending upon customer needs. Also it means margins are seasonally lower in the first half. And as Verisk Health is scaled, you'll see that more in Decision Analytics. If you are looking at quarters, I would also point out that the performance of MediConnect in the first quarter of 2012 includes $3 million or $4 million of overflow revenue from 4Q 2011, which you should assume won't occur in 1Q of '13. The revenue from 1Q '12 was prior to our acquisition and disclosed in our filings. We continue to feel very good about our growth prospects in the healthcare vertical. Our specialized markets. Revenue grew 4.4% in fourth quarter with good growth from our weather and climate analytics and more modest growth from our supply chain solutions due to customer timing. The revenue category grew 8.3% for the full year. Turning to Risk Assessment. For both the fourth quarter and full year 2012, we reported revenue growth of 2.9% and 5% after adjusting for the impact of the transfer we discussed earlier. Our industry-standard insurance programs grew 5.8% in the quarter, reflecting our 2012 invoices and strong growth in our premium leakage solutions. Beginning in the fourth quarter, we have included the actuarial services and statistical agency service categories as a part of industry-standard programs, that they are closely tied to, and build as a part of our same customer invoices. Our property-specific information revenue declined 6% in the quarter as reported, but excluding the transfer, grew 2.6%. Our customers have received and began paying their 2013 invoices, which are modestly higher than 2012. EBITDA for the fourth quarter was $189.6 million, as outlined in Table 3 of our press release. EBITDA increased 19.4% for the quarter and our EBITDA margin was 45.6%, reflecting good expense management. We produced $695.9 million of EBITDA for the full year with margins of 45.4%, including a $13 million decline in pension expense due to the freeze versus 2011, or an 80 bps margin expansion. The margins in Decision Analytics were 40.3% in fourth quarter 2012 versus 40.7% in fourth quarter 2011. Full year margins were 39.8%, flat with 2011. We continue to see a mix shift that impacts margins, as our faster-growing businesses have not yet scaled to the margins of our more mature businesses. In the quarter, our Risk Assessment margins were 55.4% versus 51.7% in fourth quarter of 2011. For the full year, Risk Assessment margins were 54.6%, up from 51% in the prior year. We benefited by about 180 bps in the margin due to the lower pension costs related to the freeze of our plan. Our business continues to show scalable profitability, but we also continue to invest in developing new solutions. We continue to see opportunities for investing in the future growth. And as you remember, those can create some near-term pressure on margins. In 2013, we expect to invest in remote imagery, in Touchstone, our next-generation platform for catastrophe modeling, and united -- unified healthcare platform and in several interesting data initiatives. We expect that these investments, which will be primarily reflected in the Decision Analytics segment, will be weighted more towards the first 2 quarters of 2013 and could impact the P&L in those periods by about $10 million to $15 million in total, which would also have some impact on lowering margins. However, these are very positive long-term initiatives, and rest assured, we're very happy to be able to invest behind these promising opportunities because they'll ultimately grow EBITDA and cash flow over the long term. We expect our corporate margins will be impacted more modestly, if at all, for full year 2013, as our incremental EBIT margins from existing solutions offset investment. Our interest expense was $5.9 million in the fourth quarter and $18.7 million for the full year versus their respective periods in 2011. This increase was due to the higher debt balances related to our acquisitions. We ended fourth quarter with a total debt of $1.5 billion and had repaid all but $10 million of our revolver borrowings. Our reported effective tax rate was 29% for the quarter and 36.6% for the full year. We have been actively working on our tax planning strategies and were rewarded by the benefits resulting from this effort. The lower tax rate in the quarter contributed about $0.07 to EPS. And we received a favorable state private letter ruling, which contributed about $0.04 in EPS for prior years and about $0.01 for 2012. We do expect this ruling to reduce our taxes in 2013 and future years by about $2 million annually. We also saw another $0.02 one-time benefit due to additional successful tax initiatives. For 2013, as we think about the tax rate, around 38% seems to be the right level for use in your models. Coming down to the net income line. We focus on adjusted net income, a non-GAAP measure, which we define in the current period as net income plus acquisition-related amortization expense less the income tax impact on that amortization. Our adjusted net income increased 27.1% to $108.7 million for the quarter. Full year adjusted net income grew 19% to $361.3 million. Adjusted EPS on a fully diluted basis was $0.63 for the quarter, an increase of 26%. This included about 7% -- $0.07 related to the tax benefit discussed earlier. Full year adjusted EPS was $2.10, up 20% from 2011. The average diluted share count was 171.9 million shares in the quarter and 171.7 million shares for the full year. On December 31, 2012, our diluted share count was 172.2 million shares. In the quarter, we purchased about 715,000 shares for $34.8 million. For fiscal year 2012, we repurchased 3.5 million shares for $162.6 million, an average price of $46.57. At quarter end, we had about $144 million left under our authorization. As we discussed the last couple of quarters, we moderated our buyback program after acquiring Argus to ensure we meet our deleveraging commitments. Our share repurchase program has been successful to date, generating annualized IRRs of about 25%. For 2013, we anticipate, at a minimum, buying shares to offset dilution. Turning to our balance sheet. As of December 31, our cash and cash equivalents was about $90 million. Total debt, both short term and long term, totaled $1.5 billion, reflecting debts borrowed to fund the Argus acquisition, which closed on August 31. Today, our incremental debt capacity is over $800 million and will grow with our EBITDA and free cash flow. Also in December 2012, we made a purchase for $27 million of technology and service application, underlying a long-standing product, as our agreement with a vendor came to an end. I'm pleased to report that our debt to pro forma EBITDA at December 31 was 2x, reaching our steady-state leverage rate well ahead of our stated goal of second half of 2013. This is down for the pro forma ratio of 2.35x at the time of the Argus acquisition. As we have stated before, we are willing to temporarily go above our long-term target of 2x debt to EBITDA to take advantage of unique opportunities because our free cash flow is strong and allows us to delever quickly. Free cash flow in 2012, which we define as cash from operations plus capital expenditures, was $388.5 million, an increase of about $81.1 million, or 26.4% versus 2011. This increase was despite the funding of our pension, which we have mentioned previously. Excluding the impact of our pension funding, net of tax benefit and certain year-over-year timing items, our free cash flow is up about 19%. Our capital expenditures were about 5.2% of revenue for full year 2012. Free cash flow represented 55.8% of EBITDA for 2012, reflecting improved conversion rate compared to the 51.8% in 2011, despite the $72 million pension funding. As we think about capital spending for 2013, we're expecting $115 million for the full year. This includes the capital related to some of the initiatives I discussed earlier, as well as the consolidation of our data centers into 2 primary locations. The special projects are approximately $20 million of that total capital spend. So you would see the steady-state CapEx closer to $95 million in 2013. Overall, our business is performing very well, and we have a nice mix of growth from multiple verticals and continue to invest in the future. With that, I will ask the operator to open up the line for questions.
Operator: [Operator Instructions] And your first question comes from the line of David Togut from Evercore Partners.
David Togut - Evercore Partners Inc., Research Division: Congratulations, Scott. Within Decision Analytics, the healthcare organic growth was significantly higher for the fourth quarter than what would have been implied by your outlook on the third quarter call. What differed from your expectations from late October, early November? And is the rate of growth we saw in the fourth quarter sustainable going forward?
Mark V. Anquillare: This is Mark. Let me just give you a quick overview. I mean, I think we continue to feel very optimistic about healthcare. It's a combination of new customers, as well as growth and penetration within existing. So as we think about the overall health of healthcare, seeing a combination, both increased penetration as well as new, is healthy and reassuring. So all I could tell you with regard to the interpretation from the quarter is I think what we try to do is be realistic, and our healthcare assets continue to perform very well.
David Togut - Evercore Partners Inc., Research Division: I see. And then just a follow-up, Mark, related to your comments regarding pension expense. You called out a $13 million reduction for 2012. What should we expect for 2013 and beyond? Is pension expense going to come down again this year?
Mark V. Anquillare: So what we did back on March 1, 2012, we froze our pension. So that was really kind of a one-time decline because we now have, in essence -- I don't want to say off our books, but the actual increased liability is gone. So we should find steady state into the future as long as discount rates remain relatively unchanged and the stock market doesn't do anything wild that would affect our asset value. So I would suggest basically flat into the future.
David Togut - Evercore Partners Inc., Research Division: I see. And then you called out a modest increase in 2013 invoices for Risk Assessment. Can you bracket what modest means from a pricing standpoint this year?
Mark V. Anquillare: Well, I think what we've always tried to do is really focus on our insurance customers as a whole. And we don't want to think of Risk Assessment industry standard as a silo. So we've commented on kind of inflationary type of increases there with a focus more on the overall insurance customer and growth there. And I think we do anticipate increasing growth or increasing organic growth in insurance across the board. But I wouldn't attach too much to the Risk Assessment [indiscernible].
David Togut - Evercore Partners Inc., Research Division: Got it. Just a final housekeeping question. You called out a 38% tax rate assumption for 2013, which would be up from the 36.6% last year, despite the tax benefit you expect this year. So I'm curious, why would the tax rate go up, given the tax benefits that you're seeing in 2013?
Mark V. Anquillare: Yes. So what we try to call out and identify is some of that tax planning strategy had the benefit of a lookback. So we gained some benefit looking back from 2007 to 2011, and we got to pick that up in the quarter, and we get about a $2 million benefit going forward. So what you see is the normalization of that amount. And the lookback is about $0.04, if that helps you.
Operator: Your next question comes from the line of Andrew Jeffrey with SunTrust.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Mark, just to clarify, did you make some comments about full year reported healthcare revenue growth? I think I may have missed what you said.
Mark V. Anquillare: So full year 2012?
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: '13. Sorry, looking forward.
Mark V. Anquillare: I think we feel -- again, feel the opportunity is promising. We feel good about the growth there. But I don't think we're going to give any specific numbers around healthcare.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. I wasn't sure if you had specifically quantified anything. And with regard to the investments in Decision Analytics in 2013, you mentioned they're kind of front end-loaded. So I guess, this is kind of a two-pronged question. Should they be somewhat linear in the first couple quarters? And then Scott, how long do you think the payback is on some of these initiatives? Because it seems like this is the first time you're calling out and specifically quantifying investments in specific initiatives and really giving us a clear sense of timing and magnitude.
Scott G. Stephenson: Yes. So let me ask Mark to just address the pace of the investments, and then I'll come back and talk background and talk about payback.
Mark V. Anquillare: Yes. I think one of the things that we feel good about is as we look for innovation across our businesses, we've had people step up with some interesting opportunities. So we obviously want to invest quickly around good long-term prospects. I would tell you that it's probably a little bit more first quarter than second quarter but not by much.
Scott G. Stephenson: Yes. And with respect to payback, you have to differentiate among the things that we're talking about. So some of them are for efficiency. And those are going to kick in relatively sooner. So for example, the consolidation of our data centers down to 2 primary data centers is the kind of thing that should be paying off even as we do it. So that's a '13, '14 kind of an item. Some of the things we're doing that are essentially clipping more value into existing product platforms should also have relatively faster paybacks. I mentioned in my remarks upfront, making use of remote imagery. Basically, what we're doing is bringing more data into existing solutions, data which our customers have very clearly indicated they'd like access to. So again, there, you've got categories where the paybacks are pretty quick. Some of the other things we're doing are kind of replatforming existing solutions, where we're creating a much more comprehensive environment in which our customers can do their work, their decisioning work. And those are going to be a little bit longer. Those might be more kind of 3-ish, 5-year kind of windows even though benefits will start to occur closer to today. But the profile of the revenue is probably going to be a little bit further out. In all cases, we think we're talking about very strong value propositions. And I just want to comment on, again kind of following up what both Frank and Mark said, I mean, it's really great, actually, the fact that our existing businesses are generating these very substantial organic growth opportunities. I mean, it's coming from within the businesses. We're definitely asking for investment. We're definitely asking for emphasis on growth and organic growth. But it's really encouraging to see the quality of the thinking and the scale of the opportunities that's coming from our existing units.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And one last one, if I may. Should we expect to see the insurance theme within Decision Analytics bounce back into double-digit organic revenue growth in '13, all else being equal?
Mark V. Anquillare: So let me -- I'm not sure I'm going to quantify, but let me qualify it. I think we are feeling good about an increased level of organic growth in insurance across the board. So I'm talking about both the Risk Assessment, as well as the category of insurance inside of Decision Analytics. So I think the answer is yes to your question.
Operator: Your next question comes from the line of Eric Boyer with Wells Fargo.
Eric J. Boyer - Wells Fargo Securities, LLC, Research Division: Could you help us -- or just remind us again the potential runoff you talked about in Q3 for your mortgage business? And then within the forensic piece, can you help us understand the nature of those contracts? Are they multiyear deals?
Mark V. Anquillare: Sure. So let me first talk about the mortgage question. When we last got together, I think what we were talking about was 2 things. On the front end, where we talked about underwriting and kind of the analytics focused on applications, that's both refinances and originations, we continue to grow nicely and really kind of ahead of market trends. On the back end, we continue to see a more than offsetting dropoff. And at third quarter, we had talked about potentially the full year being down as much as 12% to 15%. And I think we came in at about 11%. So just to look back, one of the things that we benefited from and now kind of seeing the downside from was in that forensic review. As all these defaults hit the industry, people started to use our services in a material way. Remember, using our services helps a mortgage insurer, as an example, rescind coverage and push back that obligation to the lender. The business, when we bought it, was rather small. And it grew nicely during a time. And we've kind of gotten back to the point where we said it went up dramatically and it's kind of coming down. And we just tried to quantify what the back end looked like. So we kind of gave a range as to how big that drop could be. And that kind of is consistent with what we continue and what we've said even into '13, where we said that it could be down as much as 11% again. I think the second part of your question was about the contracts?
Eric J. Boyer - Wells Fargo Securities, LLC, Research Division: Right.
Mark V. Anquillare: Here, it's a little bit different. It's more transactional. So you do contract for multiyears with either a mortgage lender or a mortgage insurer. And you get integrated, so you're tightly integrated, you're tightly embedded inside their processes, but it is transactional. So there's no guaranteed minimums. There's nothing that would guarantee an amount. It's just you're the source when they choose to run that type of analytic.
Eric J. Boyer - Wells Fargo Securities, LLC, Research Division: Okay. And then just back on the mortgage runoff again. I mean, if you were down like you projected, 11% in '13, would you kind of be back to that rate before you saw the spike in activity?
Mark V. Anquillare: I would need to actually kind of work through the details, but I believe that we're getting back to that normalized level, maybe a little bit. We're still above where we were back at that day because we've grown the business, we have more customers. One thing I want to let you know, and we've talked about this, is we used to have what was a couple very big and concentrated customers. The level and nature of the solutions now is much more spread across customers and products. So the quality of the revenue is improved, as we think about kind of into the future.
Eric J. Boyer - Wells Fargo Securities, LLC, Research Division: Okay. Then finally, just on the overall margin. You talked about the investment in Decision Analytics in the first half. But then it may not have much of an overall impact to the overall margin. Is it fair to kind of assume a flattish type margin for '13 overall for the corporate EBITDA margin?
Mark V. Anquillare: I think we try not to give real specifics. But I think there is probably -- I think we've tried to talk about the investment kind of offsetting the scale, so I think we should be around there.
Operator: Your next question comes from the line of Bill Warmington from Raymond James.
William A. Warmington - Raymond James & Associates, Inc., Research Division: First of all, congratulations to Scott on the promotion to CEO. And then also congratulations to Frank on taking Verisk from a monoline private company to a diversified $9 billion public company.
Frank J. Coyne: Thanks, Bill. I had a lot of help.
William A. Warmington - Raymond James & Associates, Inc., Research Division: Now there's been talk in the industry about you guys developing an all-claims fraud database for healthcare similar to the ISO Claims database for insurance. And I'd like to ask if you could give us some color on that and also some thoughts on that opportunity in healthcare versus insurance.
Scott G. Stephenson: So we are working on that. It's extremely important for us in the healthcare space. And it's not something that actually we're going to put a lot out in the public about right now, Bill, because it's a very critical thing that we're doing and it's very proprietary to us. I will say that it builds upon 2 strengths that we've got inside of the company. One is the fact that we already aggregate claims data on the P&C side, so there's a methodology there that we can reference. And secondly, we're already aggregating medical claims in the P&C domain. And it's really quite obvious that streaming together medical claims from the P&C domain with the formal healthcare space is actually a very powerful thing to do that has not been done before. With respect to who it is that's coming into our approach and the rate at which they're coming into our approach, I mean, that really is kind of -- we're right in the middle of all that, Bill. And we're really not sharing very many -- we're not sharing very much about that right now because it is so critical and sensitive. But I will say that it is an idea that seems intuitive for the healthcare space.
William A. Warmington - Raymond James & Associates, Inc., Research Division: Okay. And then of course, I couldn't not ask a question correlated to mortgage. So I just wanted to ask one of the clarifying question on 2013, when we talk about the 11% decline. That's for the combined forensic and origination, is that?
Mark V. Anquillare: That's correct.
Scott G. Stephenson: That's correct.
William A. Warmington - Raymond James & Associates, Inc., Research Division: Correct, okay. And then for the -- your thoughts in terms of your ability to offset the decline in the forensic piece with increased penetration on the front end.
Scott G. Stephenson: Well, I mean, basically, the work that we're doing is to look at all of the lines of service that we provide and to think about which of them are most valuable to our customers and which of them can be [indiscernible] the most. And actually, there are some lines of service that haven't even really been much a part of the business previously than in 2013, we're going -- we expect to do some merging. So it's even a little more nuanced, Bill, than just front and back end. It's also sort of multiple ways in which we can serve the originator.
William A. Warmington - Raymond James & Associates, Inc., Research Division: Got it. And then one housekeeping question, just the share count exiting the quarter.
Mark V. Anquillare: I think, exiting the quarter, give me one second, Bill, I referenced it. I want to just get you [indiscernible]. So exiting the quarter, we had 172.2 million shares.
Operator: Your next question comes from the line of Tim McHugh with William Blair.
Timothy McHugh - William Blair & Company L.L.C., Research Division: First, I wanted to ask about the catastrophe modeling. Can you elaborate a little more on the strength there? And how sustainable is that as we go into next year? I imagine the comps are much tougher after the improvement you've seen this year.
Scott G. Stephenson: I didn't actually understand the point you were making there at the end about the comps.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Just the comparison. I mean, it's had such a strong year. Can you continue to grow on top of that?
Scott G. Stephenson: Okay. Within our own experience. All right. I thought maybe you were referencing the market. Yes, catastrophe modeling is a very important discipline inside of the P&C space, and it is going to remain one. There, something to understand about it is that there are multiple ways that, that set of services grows. One way is by modeling new combinations of perils and geographies. And it's -- we're considerably far away from all perils and all meaningful geographies being modeled. And so there's growth there. One of the investments we're making to replatform what we do is actually inside of what we do on the catastrophe modeling side. And fundamentally, what that's about is taking the discipline from being aimed at making portfolio kinds of decisions, carriers working on their reinsurance with their reinsurers and vice versa. All of that will continue to be the case. But it's also about taking the same modeling capabilities and actually applying them on a risk-by-risk basis in the underwriting process for the primary carrier. And that also is going to represent some growth. And so there are just a number of things which are involved in it. And I just want to help everybody to understand that it's actually a very multidimensional thing that goes on there. And so we really believe that it is a -- it's a category with legs over a long period of time. And we believe that we have a very leading position. You may have noticed that we had a very, very disproportionately high share of all the cat bond issuances in 2012. We think that in many ways, that's the purest form of competition in the cat modeling space, representative of who has the best science and technology.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay, great. And then Argus, can you talk about it? It seems like just even on a sequential and year-over-year basis, at least what I can back into in the run rate of revenue for that business, seems like it picked up a fair amount this past quarter, or at least it was better than I expected. Is that -- is there anything special going on there? Or was it just kind of the ongoing growth of that business?
Scott G. Stephenson: You want to go ahead, Mark?
Mark V. Anquillare: Well, let me just -- I think what we've seen is -- let's do full year, I'll go kind of a pro forma basis. I think we saw greater than 20% growth at Argus. I think we see them delivering. And you're right, the actual results for the 4 months that we own them was greater than what we originally advised. Scott, let me turn it back over to you.
Scott G. Stephenson: Yes. Just, it's a kind of -- I'm going to almost repeat myself what I was saying about cat modeling. What Argus does is multidimensional, and it's important that you understand that. So the business has historically been aimed at aggregating data to understand the credit card product line. There's a big opportunity to try to understand demand deposits and other products which come from the retail banks. There's a geographic expansion dimension. And then there's also moving from focusing primarily on product design and pricing considerations also to -- because of the data that are a part of what the supply that Argus receives, there's also a big opportunity to move into looking at issues of fraud. And so again, please just understand it as being very multidimensional. And essentially, what's going on is a number of those themes are active. They were active in the fourth quarter of 2012, and they'll remain active going forward.
Operator: Your next question comes from the line of Andrew Steinerman from JPMorgan.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: I wanted to talk about the status of the unified healthcare technology platform. What has been accomplished? What still has to be accomplished? And how does that lift healthcare organic growth?
Scott G. Stephenson: Yes. So it's something that we're very focused on. We review this very routinely with the business unit, and we're pleased with where we stand overall. We have customers who are live, being served with the unified platform, powering our solutions on the back end. That is particularly true in the payment accuracy part of what it is that we do. Next up, and importantly for us, is having the same unified platform hooked up to and supporting our solutions in the Enterprise Analytics division of what it is that we do. Ultimately, it will be all of Verisk Health. But Enterprise Analytics is up next, and that's a 2013 deliverable, so -- and where we have activated customers against the platform, we and they have both been very, very pleased with the result.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: And it lifts revenues when you do that, right?
Scott G. Stephenson: Say again?
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Does it affect revenues?
Scott G. Stephenson: Yes. I mean, the primary benefit of what we're doing there is that we create access to our data stores for all of our existing solutions, as well as the next one that we develop. And because of that, in effect, what we'll be able to do is to say to an existing customer -- and I think you all know how important cross-selling is to our growth. What we'll be able to say to an existing healthcare customer is, "Because you're already contributing data, you're essentially already in our environment." So if you want to turn on another solution, the cost and time to do that is extremely negligible. And we believe that, that's going to help accelerate cross-selling.
Operator: Your next question comes from the line of Manav Patnaik from Barclays.
Manav Patnaik - Barclays Capital, Research Division: Congrats to Scott and Frank, as well. Just a quick follow-up on the Argus side. I guess, you gave us sort of what the pro forma full year revenue looked like. Can you maybe give us some color on how the margins performed there? I think you had given us the first half margins at the time of the acquisition. Was it somewhat similar to that, better? Any color on that front?
Mark V. Anquillare: Yes. I mean, the margins that you saw in the first half, or what we did as part of our filing, that continued into the 4 months where we owned. And I think we -- I think very similar to a lot of the Verisk products, that you have a wonderful brand with some real value add to the customers that will ultimately provide leverage and scale as it grows. So we feel good about the margins then. They are very strong and consistent to what you saw in the first half.
Manav Patnaik - Barclays Capital, Research Division: Got it. And is Argus, I guess, for the early stages, I think as you discussed some acquisitions, still is roughly going to be -- I guess, the way to put it is more a stand-alone company? Like is there -- I was thinking -- trying to think looking forward, are there any cross-sell opportunities between Argus and the rest of the businesses?
Scott G. Stephenson: It is more stand-alone, though it's not entirely stand-alone for a couple of reasons. One is, we are, at the enterprise level, looking to integrate substantially all of our data assets. And so what we should have the opportunity to do then is to make observations about consumer credit, consumer demand deposits, the personal line side of the insurance space, even potentially healthcare, make integrated observations in order to, for example, do an even more comprehensive job of rooting out fraud. And so I think Argus has a big data shop in and of itself, has something powerful to contribute on that front. And then I would also say that we are certainly exploring maybe individual product level opportunities, where Argus observations about consumers might be able to be tied into work that we're doing, particularly on the P&C side as it relates to fraud findings. But the shape of the P&L, I think, will be substantially based upon the customers and the product sets that Argus has.
Manav Patnaik - Barclays Capital, Research Division: Got it. And Mark, if I may, on the mortgage side, what sort of origination estimate are you using for the market in your numbers?
Mark V. Anquillare: So we're looking back. We typically focus on the MBA forecast, Mortgage Bankers Association forecast. Is that was your question is, I'll make sure.
Manav Patnaik - Barclays Capital, Research Division: Okay. Yes. No, fair enough. So that's what's baked in. And I guess, just related to that in terms of the overall segment, just your thoughts on sort of strategically, it seems like that's the least set of all the businesses and it has been a drag for a couple of years now on overall growth. Just strategically, how you view that unit?
Scott G. Stephenson: Well, I'll say a couple things. The first one is that we apply ourselves to making the mortgage business a distinctive Verisk-like business, just as we do with everything we do, which means always trying to infuse it with higher-level analytics, with more proprietary data and a robust stream of new solutions. So we don't take any different approach in terms of the running of the business nor will we take a different approach. What I would also say is that we're just always alert to thinking about the shape of our whole portfolio. We try not to think of anything as being sacred but always putting things to the test of: Is there value? Is there increasing value? What's the nature of the external market that we face, et cetera? So in that sense, mortgage is always being reviewed in the same way that the whole business is always being reviewed. And we don't ever turn off that part of the thought process.
Operator: Your next question comes from the line of Kelly Flynn with Crédit Suisse.
Kelly A. Flynn - Crédit Suisse AG, Research Division: First question relates to your comments about industry-standard business, Risk Assessment overall as well. I just want to clarify what you said because, Mark, some of your comments tailed off a bit at the end. Are you saying you expect growth for industry standard to accelerate in 2013 at kind of an inflationary rate, which would mean a few hundred basis points of acceleration would be reasonable? I mean, I know you don't want to give guidance, but pulling together everything that you said, is that kind of the right picture?
Mark V. Anquillare: No. Let me just make sure. I'll say it again. I said that we expected the industry-standard program, the invoices are out, and they grew at an inflationary pace. There was an increase. It was an increase, just inflationary kind of similar path. The point that I was making was that we just don't look at industry-standard programs as a silo. What we're interested in doing is making sure we sell more to and grow our relationship broadly across Risk Assessment and Decision Analytics to our insurance customers. And we do see an increase in growth rate across the total relationship as we think about '13.
Kelly A. Flynn - Crédit Suisse AG, Research Division: Okay, got it. And then another question I have that relates to G&A and it ties in your comments about investments. Another way to look at this, your G&A was down a couple million sequentially. First of all, why was that? And how should we think about that line item in the model next year as we layer in investments?
Mark V. Anquillare: Well, I think one thing you do need to factor into this is the pension freeze that we talked about, the $13 million, is a combination of cost of goods because there's people working on product. But it's also about the people that are providing support functions. And remember, if you think about pension, a lot of those people are, in fact, retired. So that affects the SG&A number also. I would generally expect SG&A to grow slightly slower than the top line. We would expect leverage and scale there.
Kelly A. Flynn - Crédit Suisse AG, Research Division: Okay, great. That's helpful. And then for Argus, I know we've touched on it a couple times in the call. But just to ensure accuracy, I mean, can you actually give us the revenue number that Argus generated in the quarter?
Mark V. Anquillare: I think that is...
Eva F. Huston: Kelly, it's Eva. You can parse that out of the K. Let me just give you the specific number. I'm just getting to the right page. $16.7 million in the fourth quarter.
Kelly A. Flynn - Crédit Suisse AG, Research Division: Okay, great. And then I might be able to calculate this, too, but I'm not positive. The -- as far as the growth rate, the pro forma growth rate for Argus, I think you just said a few questions back, Mark, it was more than 20%.
Mark V. Anquillare: That's correct for '12.
Kelly A. Flynn - Crédit Suisse AG, Research Division: Are we able to get any more detail on that? I mean, was it -- can you give us the exact number? Or can we calculate it from what you've disclosed?
Mark V. Anquillare: I mean, I think it's a little bit above 20%. I think what we did -- said at the time of the acquisition, that we kind of saw mid-teens growth in the future. We still feel good about that.
Kelly A. Flynn - Crédit Suisse AG, Research Division: Okay. So when you say above 20%, it's close to 20%. It's not like above 20%, could be 40% or anything like that?
Mark V. Anquillare: I think that's right, yes.
Operator: Your next question comes from the line of Suzanne Stein from Morgan Stanley.
Unknown Analyst: This is Brian [ph] in for Suzi. Do you have any sort of government exposure? And is sequestration at all an issue here?
Scott G. Stephenson: Yes, not very much at all. Very, very de minimis. And the effect would be just negligible on the P&L, if it did occur, I mean, we -- mostly through our weather-related analytics, we do a fair amount of work on Earth-orbiting satellites, et cetera. Apparently, these are more considered to be critical programs. But the real point is just the absolute amount of business we do there is so small that it just won't have much of an effect.
Unknown Analyst: Got it. And just from an pipeline -- from an acquisition pipeline standpoint, can you comment generally on any sort of plans for increased activity in healthcare or any other verticals that you may be kind of focusing on?
Scott G. Stephenson: Well, we remain very active in the marketplace overall. Our team is constantly proactively engaging with companies that potentially fit with our strategy. Absolutely no difference in approach from where we've been for years and years and years now. Just a general point I would make is that as we have diversified our business, as we've moved into new market segments, et cetera, we've just given ourselves a broader playing field. And we're just going to continue to pursue it. You've seen a fair amount of M&A activity in the healthcare space from us. And there's certainly no reason to expect that, that would change. But we're -- we've got our headlights out there against the whole business.
Operator: Your next question comes from the line of James Friedman with SIG.
James E. Friedman - Susquehanna Financial Group, LLLP, Research Division: It's such an exciting time for the company, Frank and Scott. I wanted to follow up on some of your preliminary comments about the N+1 initiative that you made at the outset. Just I know you're going to go into this in more detail next week, but if you could just share with us in a minute or so, what specific end markets you envision addressing with those initiatives.
Scott G. Stephenson: Well, we've talked a lot about the fact that we feel the need to be very deep in whatever vertical markets we're serving because it is really, really important that we be intimate with our customers. In fact, we can't even -- N+1, as it relates to our data sets, is interpreted in several ways. It means that we're one layer further than our competitors. It means that we're one layer further than any one customer. It means that we're one layer further than the data assets that we've got today in terms of what we're building towards in the future. So it's a lot of -- it has a lot of different dimensions to it like that. Unless we are intimate with our customers, we don't actually know what N is, so we don't know that we're at the N+1 level. And so that's just by way of saying that we are in 4 domains right now, as you know: the P&C market, the healthcare market, supply chain and financial services. And we'll talk about this more at Investor Day. But we've got plenty of distance to run inside of those marketplaces. And we would not claim that we've achieved the very greatest amount of intimacy that we can with all of our customers. That's good work that we're still engaged in. So that's all by way of saying that while we're always asking questions about the shape of the business and where are we in terms of the markets that we serve, we have a great deal of focus on going further inside of the segments that we already serve. And I think you can expect to continue to see that from us.
James E. Friedman - Susquehanna Financial Group, LLLP, Research Division: Okay. Thank you for that context. And then I have some pension-related question maybe for Mark or Eva. With regards to the pension, just so I understand, that -- the freeze is on current. Or is it current or new employees where the pension -- the movement in the pension is accruing?
Mark V. Anquillare: So just to give you a feel. We've gone through a couple reiteration [ph] of freezes. But back in March, that was put in place across the entire Verisk enterprise. So there's nobody accruing any additional benefit related to pension. Obviously, what anybody earned in the past is obviously theirs, but there's no more benefit accruing.
James E. Friedman - Susquehanna Financial Group, LLLP, Research Division: Okay. So should we expect significant movement in 2013 as we had in 2012?
Mark V. Anquillare: So no, what happens is we receive the benefit and what we would expect now is it would be generally flat going forward, as long as discount rates and market results or how the assets are invested don't change materially. So we would expect a flatness to that cost, which is negligible these days.
Operator: Your next question comes from the line of Eric Boyer with Wells Fargo.
Eric J. Boyer - Wells Fargo Securities, LLC, Research Division: Mark, just a quick follow-up. On that lower tax rate for '13, is that something that's sustainable going forward? Or should we expect the tax rate to kind of move back up again?
Mark V. Anquillare: No. We feel that, that is a sustainable rate in light of these tax planning strategies we've taken on.
Operator: And this concludes the Q&A portion of today's call. I'll turn the call back over to Frank Coyne.
Frank J. Coyne: Yes. Thank you. And thanks to all for joining us today for our fourth quarter results. We appreciate your support, and I thank you for helping Verisk reach its current stature in the public market. This will be my last earnings call as I transition to solely a board role effective April 1. It has been an honor to serve our 6,000 employees, our customers and our investors as CEO, and I look forward to continuing to be a part of Verisk through my role as Chairman. Thank you very much, and have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.